Operator: Good morning, and welcome to the Third Quarter 2023 Pilgrim's Pride Earnings Conference Call and Webcast. [Operator Instructions] At the company's request this call is being recorded. Please note that the slides referenced during today's call are available for download from the Investors section of the company's website at www.pilgrims.com. After today's presentation, there will be an opportunity to ask questions. I would now like to turn the conference call over to Andy Rojeski, Head of Strategy, Investor Relations and Net Zero Programs for Pilgrim's.
Andy Rojeski: Good morning, and thank you for joining us today as we review our operating and financial results for the third quarter ended on September 24, 2023. Yesterday, we issued a press release providing an overview of our financial performance for the quarter including a reconciliation of any non-GAAP measures we may discuss. A copy of the release is available on our website at ir.pilgrims.com, along with the slides for reference. These items have also been filed as Form 8-Ks and are available online at sec.gov. Fabio Sandri, President and Chief Executive Officer; and Matt Galvanoni, Chief Financial Officer will present on today's call. Before we begin our prepared remarks, I would like to remind everyone of our safe harbor disclaimer. Today's call may contain certain forward-looking statements that represent our outlook and current expectations as of the date of this release. Other additional factors not anticipated by management may cause actual results to differ materially from those projected in these forward-looking statements. Further information concerning these factors have been provided in yesterday's press release, our Form 10-K and our regular filings with the SEC. I would now like to turn the call over to Fabio Sandri.
Fabio Sandri: Thank you, Andy. Good morning, everyone. And thank you for joining us today. For the third quarter of 2023, we reported net revenues of $4.4 billion with adjusted EBITDA of $324 million translating to a 7.4% margin. Throughout the quarter, we experienced very volatile market fundamentals and persistent consumer inflation. Nonetheless, we remained focused on our strategies of diversification, key customer partnerships and operational excellence. Given our consistent execution, improved margins relative to prior quarters across all regions. In the U.S., our key customer partnerships drove significant growth in case-ready and strong performance in Small Birds where our operational excellence efforts improve our efficiencies in Big Bird. We continue to further diversify our portfolio in both branded fresh products and prepared offerings given our growth with leading retailers and food service providers. Based on this combinated efforts, the U.S. improve its profitability compared to previous quarters. As for the U.K. and Europe, we further diversify our marketplace presence through branded innovation and recently launched new products, secured additional long term supply arrangements with key customers and drove further efficiencies in our manufacturing network and back office to operational excellence. As a result, we have reinforced our foundations for profitable growth. In Mexico, we experienced a strong third quarter given improvements in live operations, favorability and feed inputs and currency and balance supply and demand fundamentals. Our diversification through branded and prepare offerings continue to gain marketplace traction and our operational excellence efforts to drive efficiencies and expand capacities remain on track. In the third quarter of 2023, ready to cook production of U.S. chicken experienced a decrease of 1.9% relative to the same period last year. USDA estimates primarily influenced by fewer headcounts along with more typical changes in industry production given seasonal trends. The most recent USDA outlook for Q4 of 2023 indicates that the industry continues to reduce excess and chicks placement relative to last year, suggesting a more restrained supply scenario in the near future. Concerning our cold storage supply, reported September 2023 USDA cold storage inventories are below prior year and indicate the levels have declined relative to June 2023. Breast meat remains in line with the end of June levels and dark meat inventories continue to trend below last year. Considering the overall supply of protein, USDA expect a slight reduction in domestic protein availability for the remainder of the calendar 2023. This reflects a view of slow growing broiler supply compared with contracting beef and pork availability. With relative lower beef and pork availability, food inflation higher than historical average and current economic uncertainty, chicken may be advantaged given its availability, affordability and flexibility. Domestic volume demand for chicken improved significantly in the third quarter of 2023. The retail channel momentum continued, providing more balanced growth in volumes across all departments. The fresh department was supported by volume growth coming across both front half and back half cuts, and we are finally seeing increased promotional activities. We remain positive on the potential of this category expected in competing protein supplies, increasing competing meat prices and more normal promotional activity has contributed to consistent sales volumes over the quarter. Elsewhere in the retail category, the frozen department has added incremental volume and unit sales, and we are now seeing volume sales growth from both the commodity and value-added frozen segments. Meanwhile, the dairy prepared department has steadily added in both units and dollar sales. In the foodservice channel, volume sales also increased. Commercial distribution volume demand has improved as the number of operators purchasing chicken has grown and those operators, already with chicken have experienced an increase in velocity. Similar to retail, Q3 of this year was reflected of a more balanced volume growth across front half cuts and back half cuts. The non-commercial distribution sub-channel increased volumes, albeit at relatively lower prices compared to the record prices of last year. As a result of improving retail and food service volume sales and balanced supply during the quarter, wholesale pricing for commodity chicken experienced price improvements during August and September, especially on breast meat and tenders providing a lift to cut out pricing. Commodity prices have recently reverted to the normal seasonal pricing patterns and are now close to historical leverage, which is not a sustainable level, considering the industry's elevated costs from grain, labor and other inputs relative to prepandemic levels. Nonetheless, the supply and demand balance appears to be improving as we enter Q4 of 2023. On the exports, Q3 was remarkably stable and with solid demand for U.S. broiler. The reduction of 2.2% on year-over-year exports was mainly driven by China, where sales were down 28%, mainly due to ongoing high path avian influenza and relative limited eligibility for export among poultry-producing states. Excluding this impact, U.S. exports will have been up 2.5% year-over-year, a good indication that strong demand exists for U.S. products globally. High path avian influenza emerging commercial turkey flock towards the end of September and beginning of October. Although these were the first deductions since mid-April and occur far from major broiler producing states, it does increase vigilance throughout the industry. As for business implications, most of our trading partners have adjusted their trade restrictions to reflect impact zones or states in the event of a commercial outbreak. Other than China, we do not expect to see material disruption to trade in the event of an [HPAI] break in commercial broiler. Consistent with the previous quarter, as volume sales have maintained growth in the channel, U.S. cold storage inventories of combined dark meat have trended below a year ago and up 19% below the five-year average. Driven by a 32% reduction in year-over-year last quarter inventories at the end of September. Based on our current trajectory, we expect our exports to continue to outpace last year, as we further diversify our client base and country of destination portfolios. We're exporting supporting an already healthy U.S. dark meat market potentially exists for relatively strong pricing and demand than typical expected in the fourth quarter. Turning to feed ingredients. Harvest is progressing in the U.S. despite below-trend yields, the historically large corn acreage has contributed to a recovery in U.S. corn ending stocks for the '23, '24 crop year. Production is forecast at just over 15 billion bushels making the largest crop since 2016. Ending stocks are currently forecasted at 2.1 billion bushels, an increase of 55% year-over-year. The large U.S. production comes certainly after a record Brazilian corn crop that is still compete priced. Global ending stocks for '23, '24 are forecasted to sell 14 million metric tons, assuming favorable South American weather and Argentina's production returns to normal levels after a remarkably weak prior year. As for soybeans, U.S. crop is estimated to be nearly 4% lower year-over-year, because of a reduced acreage and limited yield improvements, resulting in another year with historical low ending stocks. Nonetheless, last year's record crop in Brazil remained competitive in export markets, creating a large demand for the U.S. production. Though only in the planting stage, both Brazil and Argentina soy-crops are expected to be larger year-over-year, boosting global supply, like corn, South American weather will be key in realizing growth. U.S. soybean meal market should be well supplied, given continued crush industry expansion, assuming Argentina's forecast rebound in soybean production is realized. Further price pressure could arise. Although soybean or inflows can be heavily influenced by biofuel policies. The growth in production and diversification of import inflows should balance supply and demand. Turning to wheat. Global production is currently forecast to fall by 6 million metric tons from last year, largely driven by a drop from Russia's record crop. In U.S., wheat production increased 4.4 million metric tons from last year whereas Australia and Argentina estimates have been reduced, given slightly unfavorable growing conditions. Black Sea exports continue without an agreement between Russia and Ukraine that should be monitored. Our U.S. business continued to navigate very volatile market fundamentals in big bird segment, along with persistent consumer inflation. Our diversified portfolio across bird sizes mitigated this prolonged challenges and we maintain our intense focus, and operational excellence and cultivation of key customer partnerships. Within big bird, the team continue to drive action points to further enhance operational excellence in our manufacturing locations. During the quarter, we achieved improvements in production efficiencies, both at the live operations and other clients. These efforts were also aided by enhanced market fundamentals during the quarter, but work still remains to consistently realize sustainable margin levels. In case ready, the team improved our volumes to keep customer partnerships. We increase distribution additional, promotional activity and improvement mix. In addition, the team maintained its operational excellence in both quality and service levels despite significant disruptions from Hurricane Idalia in the Southeastern United States. Equally important, we further diversify our sales pipeline, we differentiated high attribute effort that helps driving traffic and differentiation to our key customers. Small Bird remains strong given stable demand from QSRs, robust daily performance with key customers and sustained operational excellence. Given their consistent quality and service levels, the team secured additional business throughout the quarter and beyond across retail and foodservice. Our efforts to further diversify our portfolio to prepare foods continue to gain momentum. As the team realized significant growth through increased distribution, promotional activities and innovation. In retail, our fully cooked branded offerings Just BARE and Pilgrim's collectively grew 65% compared to last year. Within foodservice, the team reinvigorated growth with distributors, schools and commercial chains through our targeted expansion teams. Digitally influenced sales continue to play a role on commerce for prepared branded offerings. Our key customer media partnerships and investments have demonstrated their effectiveness as click-through rates are nearly double industry standards and consumer acquisition costs have fallen off. Equally important, digitally sales increased 90% over the past year. Given the exceptionally well-received shopper reaction, we look forward to increase partnership through the trade to further diversify our portfolio through branded offerings. Similar to the U.S., our U.K. and European business experienced an environment with continued consumer inflation. Improved pork fundamentals and relative affordability of chicken help mitigate this impact, but the team remains focused on our strategies. To that end, the business trended its key customer partnership with leading retailers and foodservice providers through targeted promotional activities and customer-specific offerings. The team also secured additional long-term business with selected retailers through efficient supply chain capabilities and differentiated product offerings. Our diversification through branded products continue to progress as both Fridge Raiders and the Richmond brands gained share throughout the quarter. Innovation also continues to play a key role as we launched over 100 items, many of which are designed to reinvent our fresh meals category. Our new product performance is becoming increasingly recognized throughout the trade as we receive multiple awards for development and launch execution. We continue to drive diversification and key customer focus through operational excellence efforts. To-date, we've made significant progress in the optimization of our manufacturing network and back-office support activities. Moving forward, will explore additional opportunities throughout our production footprint to increase efficiencies and drive scale to meet our growth aspirations. We will also continue to closely monitor various economic indicators. Wage growth is now ahead of inflation and consumer confidence has resumed in support trajectory. Based on these factors, consumers may be willing to increase protein consumption, trade up within retail, or pursue away-from-home eating opportunities in foodservice. Given our diversified portfolio and key customer presence across channels and operational capabilities, we are positioned to adjust to these trends and accelerate our growth. Turning to Mexico. The business experienced a strong performance in the third quarter, given improvements in live operation, grain and currency favorability and more balanced supply and demand fundamentals in the region. The business strengthening its key customer focus, given continued growth with leading retailers and QSRs. Equally important, our diversification efforts through branded offerings continue to gain traction among retailers and consumers alike. In Prepared Foods, the Pilgrim's brand grew double-digits compared to last year, whereas our recent Just BARE launch has been exceptionally well received through the marketplace. Moving forward, we'll further cultivate our branded presence through additional marketing support for the Unique Taste and Favorites and the introduction of a Just BARE fresh offering. We continue our commitment to driving profitable growth through continued investment and operational excellence. We have completed our expansion in the Merida region and expect to initiate production in the first quarter of 2022, increasing the geographical diversification of our progress. Also, our projects to enhance biosecurity for live operations, our progress as planned, and it should be completed according to schedule. We're also proud to have published our sustainability report in September to highlight our continued progress on our journey to become a leader in environment, social and governance matters. We have made significant progress against the United Nations Sustainability Development Goals since 2019 as our team members' Global Safety Index improved by 54% and our Scope 1 and Scope 2 greenhouse emissions intensity fell by 20%. We continue to invest in the communities in which we serve as we have funded over $50 million in projects through our Hometown Strong initiatives and we provided higher education tuition fee for 350 team members, all members of their families to our better futures.
Matthew Galvanoni: Hi, good morning, everyone. This is Matt Galvanoni. For the third quarter of 2023, net revenues were $4.36 billion versus $4.47 billion a year ago with adjusted EBITDA of $324 million in a margin of 7.4% compared to $460.5 million and a 10.3% margin in Q3 last year. Adjusted EBITDA margins in Q3 were 7.0% in the U.S. compared to 14.7% a year ago. For our U.K. and Europe business, adjusted EBITDA margins came in at 6.1% for Q3 compared to 4.0% last year. In Mexico adjusted EBITDA margins in Q3 were 12.4% compared to a loss of 1.5% a year ago. Moving to the overall U.S. results, our adjusted EBITDA for Q3 came in at $174.1 million compared to quarterly profit of $418.3 million a year ago, when the Jumbo Cutout was just starting to come off its all-time highs. Over the last three quarters we've grown U.S. profitability sequentially despite volatile market conditions. Our key customer partnerships helped drive strength in our case-ready business during Q3 and we see further momentum in retail volumes continuing. Also, the U.S. Small Bird and Prepared Foods businesses continued to their strong 2023 performance during the third quarter. Our Big Bird business realized quarter-over-quarter improvements through a combination of operational excellence programs and enhanced market fundamentals. In the U.K. and Europe, adjusted EBITDA in Q3 was $80.4 million versus $48.5 million in 2022. Through its previously discussed operational excellence efforts, the business improved profitability over 65% year-over-year and it is the sixth consecutive quarter of sequentially increasing profitability. During Q3 the business also continued to benefit from the back office integration and its network optimization programs. As inflation moderates, the U.K. consumer should return to more normal shopping patterns, enabling further growth for our business. Mexico generated $69.5 million in adjusted EBITDA in Q3 compared to a loss of $6.3 million last year. The Mexican businesses experienced more balanced supply demand fundamentals or reduction in birds disease challenges and it's live operations due to teams extraordinary efforts and foreign currency favorability. Overall, our SG&A in the quarter was lower year-over-year primarily due to a decrease incentive compensation and legal defense costs in the U.S., as well as other targeted cost efficiencies achieved in the U.S. and U.K., Europe businesses. We spent $146 million in CapEx in the third quarter which is higher on a more normalized run rate basis primarily due to our investments in the Athens, Georgia expansion and construction of our new protein conversion plant in South Georgia. We reiterate our commitment to investment in strong ROCE projects that will improve our operational efficiencies through automation and tailor our operations to address key customer needs to further solidify competitive advantages for Pilgrims. Although the U.S. chicken commodity market has been quite volatile over the last year, our overall balance sheet and liquidity position remains strong. As of the end of the third quarter, we had over $2 billion in total cash and revolver availability. After quarter-end in early October, we completed a $500 million long 10-year notes offering and paid off our 2027 notes through a tender operating process. Also in October, we entered into a new five year U.S. credit facility which was upsized by $50 million to $850 million is now unsecured. We're pleased with the results of these recent transactions and the overall interest in our debt offerings. Following these transactions, our net debt maturity is now not until 2031. Our liquidity position provides us flexibility during times of volatility in the U.S. commodity markets and allows us to explore further growth opportunities. As at the end of Q3, our net debt was approximately $2.8 billion with the leverage ratio of 3.5x our last 12 months adjusted EBITDA, which is outside of our target ratio range of 2x to 3x. We anticipate this quarter to be the peak of our leverage ratio as we're about to last very challenging fourth quarter '22 and first quarter 2023 results, given the depressed U.S. commodity market pricing during those periods. Net interest expense in the quarter totaled $33.5 million. We anticipate our full year net interest expense to be approximately $160 million excluding refinancing costs. Our effective tax rate for the quarter was 26.8% and 9.8% year-to-date. We are now estimating the full year effective tax rate to be approximately 14%. As a reminder, this amount could fluctuate depending on the final mix of earnings across our tax jurisdictions. Our capital allocation approach will remain disciplined as we look to grow the company and will continue to align our investment priorities and their overall strategies and portfolio diversification. Key customer growth, operational excellence and commitment to team member health and safety. Operator, this concludes our prepared remarks. Please open the call for questions.
Operator: [Operator Instructions] Our first question comes from Ben Theurer from Barclays. Please go ahead.
Ben Theurer: Good morning, Fabio and Matt. Congrats on the very strong results. On the two questions, so first of all, we saw a very nice improvement and continued improvement just sequentially as it relates to the business in the U.S. from an operating income perspective. Now as we look into next year, and assuming maybe Mexico to stay as strong in the U.K., as well to continue to improve. How do you think about the potential of profitability in 2024? Or in other words, do you think it's achievable to reach what would be more of a normalized level of 6% to 8% operating income margins in 2024? That would be my first question.
Fabio Sandri: Sure. Thanks for the question. Ben, as always, we look at our differentiated portfolio. We created this portfolio a long time ago where we target to have a portfolio that can capture upside on the commodity market. So, we have a big exposure to the commodity in the U.S. with the Big Bird operation, but we can protect the downside and have more stable business with our kids ready, our Prepared Foods and our Small Bird business. If you look at the performance this year, the Small Bird, the Prepared Foods and the case ready has performed really well. At the same level as the year before. What has been very volatile has been the commodity business or the Big Bird segments. Looking into the next year three things, I think, are very important for us to identify and to monitor. I think, one is the competing proteins. As we see by the USDA numbers released yesterday, we're expecting limited growth in the domestic availability of total protein in the United States, being beef really down, compared to year-over-year. And at a very expected high price, which tends to favor chicken in promotional activities, both in the retail and food service. I think we're also seeing a moderation in the high prices of grain. As we said, we are having very favorable production, especially on the corn side, which should help our costs overall. And also the promotional activity for the chicken, both, again, in the retail and food service. Also, our operations have improved. I think we're lapping - the big problem that we have in staffing, because of the pandemic. All of our operations are now fully staffed. We still have a lot of operational improvements to capture based on training and based on full operations and better mix, but I think that should help our operations next year. So what we have is a scenario that is posing some headwinds for chicken overall. Or tailwinds, in terms of now what can change, of course, the economy can be different if the consumer has less available money to spend. But on the overall chicken has been more resilient to even economic downturn scenarios.
Benjamin Theurer: Okay. Perfect. And then my second question, I guess that one is for Matt. Just coming back on the capital allocation side, and you just said on the call, to continue to invest in high returning projects, et cetera. Can you update us on what you're expecting full year CapEx to come out? I mean obviously, we're year-to-date already almost at the levels we were in full year last year. So is that run rate about $150 million for the fourth quarter, should we expect that to come in as well? And how do you think about CapEx into next year? Is there a normalization? Or you would still expect some elevated levels?
Matthew Galvanoni: Yes. Good question, Ben. [We dealt] in fourth quarter and look, I think in total for the year, we'll definitely be north of $550 million. Our run rate should maybe slightly slow down as we wind down the Athens construction, but we still will be finalizing our construction in our South Georgia facility, which are two of the bigger strategic projects, which we've been mentioning over the last year. So the run rate that we've been having at kind of this $140 million probably pretty close to what I would see kind of going into the fourth quarter in full year north of $550. I think relative to next year, I think what we'll do as we get through our budget process and our strategic focus here as we wind through our budgets here in the fourth quarter and meeting with our Board, we'll be giving updates to you guys on that, at our earnings call in February. But generally speaking, we break this minute, we don't have those larger strategic projects that have been initiated similar to the Athens and South Georgia protein conversion, which would tell us to it'd probably be down slightly for sure year-over-year.
Fabio Sandri: And also, over the last two years, Ben we invested heavily in automation as we have been talking about, especially on the breast deboning automation. And as we have the plants fully staffed, of course, we're always looking to the payback of those projects, but we don't expect significant investments in that scenario.
Benjamin Theurer: Okay. Thank you. Congrats again.
Fabio Sandri: Thank you, Ben.
Operator: Our next question comes from Ben Bienvenu of Stephens Incorporated. Please go ahead.
Ben Bienvenu: Yes. Thanks so much. Good morning.
Fabio Sandri: Hi Ben. Good morning, Ben.
Ben Bienvenu: Fabio I want to pick up on some comments you made just around the fourth quarter. You noted that supply production levels are trending down through kind of most of the third quarter, and it looks to be continuing into the fourth quarter based on the leading indicators. You noted prices are at a historically average level, but relative to grain prices seem unsustainably low. In light of that and the demand backdrop that you've laid out, do you think we could have a counter seasonal move in breast meat prices? As we move through the quarter, recognizing I know the prices are under pressure a bit to start the quarter?
Fabio Sandri: Yes. It's a great point. But usually, Q4 is the lowest price for chicken, because of all the events that we have Thanksgiving and Christmas is typically not the best sales moment for chicken as we have a lot of features on the other proteins. I think starting mid-November and beginning of December, what we usually see in our industry is a big increase in terms of demand because of the expectations for the beginning of the year. I think people talk about New Year's resolution. But I think it's more after the Christmas and after New Year, people go back to the normal buying patterns and chicken is an everyday item that is very important for our families. So what we expect, similar to prior years is a reduction in supply. And we're seeing, as I mentioned, that on the exits that are informed by USDA. And we're seeing a pickup in demand starting mid-November, beginning of December, and that's when we expect the prices to start increasing. I think the volatility has been really strong on the breast meat. If you look at the cut out, there'll be other parts where we are seeing a much better supply and demand scenario. I think wings that was very low last year as it was priced out of the menu and many food services. It's coming back to the menu. So we're seeing a steady increase in the price of wings. Of course, the wings season that just started also helps. And we're seeing, as we mentioned, steady improvement in the exports as the leg quarters from the United States are very competitively priced compared to all the other proteins available on the export scenario. So when you think about the cutout, we're seeing more volatility on the breast meat, but very well supported on leg quarters and on the wings.
Ben Bienvenu: Okay. Very good. My second question is related to Mexico. Another strong quarter there. Can you provide any color on the go-forward outlook for 4Q? And then Hurricane Otis, it doesn't look like you guys have operations where that made landfall and was, most of the devastation was concentrated. But do you expect that to have any impact on operations at all?
Fabio Sandri: Yes. Sure. On Mexico, as we always mentioned. It can be very volatile quarter-over-quarter, but we expect to be really strong year-over-year, and that's not different this year. I think last year, we saw a very strong first quarter and a very weak second quarter. Of course, that was based on some internal issues that we have on the live operations.
Matthew Galvanoni: First half and second half, yes.
Fabio Sandri: Yes. But this year, what we are seeing is a strong demand for chicken. As I mentioned, I think the first semester and even Q3, which is not normal because what happens normally, the seasonality in Mexico is that as schools are out, people change their buying patterns, and we see a weakness in the purchasing of chicken. And as the school come back, we're seeing a lot of available income coming for school supplies and also an impact in demand. But this year has been different than other years, and we see a very strong Q3. October, September and October has always been the lowest levels of pricing in Mexico, and that was not different. This year, but we are seeing prices already recovering. There is always the competition of competing proteins and imports from both United States and Brazil, impacting the demand in Mexico as well. But I think that we are seeing a very favorable scenario coming in the next quarter.
Matthew Galvanoni: Yes. And Ben, just a couple of things to follow-up. One is I could say also foreign currency volatility is something we're currently always monitoring there in Mexico. And your question relative to the storm, my understanding the storm hit the - off [coco] area, which does not, it's not an area that has a lot of production for us, and it has now thankfully dissipated. The storm is not nearly severe. So, we're not seeing, at this point, any severe impacts to our operations at this time.
Ben Bienvenu: Okay. Great. Thanks so much.
Operator: The next question comes from Andrew Strelzik of BMO Capital. Please go ahead.
Andrew Strelzik: Hi. Good morning. Thanks for taking the questions. My first one is on some of the operational improvements. In the press release you alluded to on covering some incremental opportunities. Can you elaborate a little bit on what those are? And is there any way to quantify, I guess, the magnitude of those or the contributions of those improvements that you've realized so far this year and then the new ones going forward?
Fabio Sandri: Sure. Thank you for the question, Andrew. Yes, every year in the budget time, we identify the opportunities for operational improvements. We call that opening the gaps. And then also during the budgeting we created action plans to close those gaps and capture those operational improvement. Typically, we expect around $100 million to $200 million in improvements every year, doing things to more efficiently capturing better yield, better live operations and better mix. So last year was no different. We identified a lot of operational improvements that we can take I think the biggest challenge was the staffing of our plants. So, we were not fully staffed. It was very difficult to attract talent to our operations. And as the 2023 started, we're seeing an improvement in that scenario. And as I mentioned, right now, we are fully staffed. So, I think the challenge right now is to train all of our team members to operate efficiently and capture those improvements, as I mentioned.
Andrew Strelzik: Okay. Great. That's helpful. And then I guess I just had a question more broadly on your market share. I mean given some of the dynamics and the sales trends and distribution, et cetera, that you've called out. It would seem certainly like you're gaining share in the U.S. And I'm, in particular, interested on the distribution side with respect to case ready. If you could talk maybe about what's going on there? I mean do you think that you're taking share from other key players in the industry? Or is there a broader growth here? That you're servicing with the key customers that fits into? How would you characterize what's going on there? Thanks.
Fabio Sandri: Yes. That's a great question. When we think about market share, we don't look overall. We look into the individual segments, right? And as we mentioned, we have a very well-balanced portfolio. We are the leaders in the Small Bird category, and we've been gaining market share as our presence with key customers have been increasing. So we're gaining market share with our key customers and our key customers are winning in the marketplace, and that's more different on the case-ready segment. We've been growing our market share because we've been increasing our market share with our key customers and our key customers are growing faster than all the other customers or players in that segment. As an example, we increased, the market increase in Q3, 3.4% in the fresh category in the retail, and we increased 9%. Because of our penetration in those key customers, again, that are growing faster than all others. On the Big Bird category, I think there have been a lot of additions in the last for 5 years in this industry, and we have not increased in number of plants. Of course, we have improved in terms of number of heads and we have improved in terms of yields. But in that category, I think we've been having a very stable market share.
Andrew Strelzik: Great. Very helpful perspective. Thank you very much.
Operator: The next question comes from Peter Galbo of Bank of America. Please go ahead.
Peter Galbo: Hi. Good morning.
Fabio Sandri: Good morning, Peter.
Peter Galbo: Maybe to actually follow-up or ask Andrew's question a bit different on market share. One of the dynamics I feel like we're seeing, at least within U.S. retail, is maybe a shift from kind of the center store or some of the frozen categories to the perimeter, just as consumers are kind of being more, choosy with dollars. Given you guys kind of have exposure in both parts that just, it seems like that kind of is what you're seeing as well, maybe that the perimeter is gaining share relative to the frozen or seller store categories. But wondering if you can just comment on kind of that dynamic and what you're seeing?
Fabio Sandri: No, I think it's a great question, Peter. And yes, I think we are seeing customers shifting from the frozen category to the fresh category, maybe on IQS to the fresh category. I think we have a great offering that differentiates our key customers. As we mentioned, we produce tailored products to our customers that are differentiated and targeted towards their specific segments. So we have Fresh from Florida. We have Fresh from Texas. We have differentiated offerings in terms of no antibiotic ever in terms of Veggie Fed that we tailor our products to their specific customers. We augment that with our, just BARE brand, which is a higher antibiotic offering that complements the portfolio of our key customers. And that's why I mentioned we've been growing on the fresh category. Now on the frozen category, the fully cooked category for Pilgrim's’ have been increasing year-over-year, which are Just BARE launches and Just BARE penetration. So for us, what we are seeing is the growth in the frozen fully cooked category through our Just BARE and Pilgrim's brands and a growth in our fresh offerings with partnership with key customers on customer brands. What is reducing and you're absolutely right. This is what we call IQS, which is more a commodity operation that is a frozen offering of a non-value-added breast meat or wind or tender.
Peter Galbo: Got it. No, that's helpful. And Matt, your comments just around the balance sheet, right, the leverage position has kind of improved here or should continue to improve here into the next quarter. Just given where the cash position sits on the balance sheet, how are you thinking about opportunities to redeploy the cash, whether that be opportunistic share buyback, which you guys have done in the past or potentially M&A opportunities that are out there?
Matthew Galvanoni: Yes. And I think just one thing just to make sure everyone's cognizant of. We see the cash balance at the end of the quarter. That number will be down $350-ish million with the tender offer we did, because we did the bond offering for $500 million and paid down debt for $850 million. So just to make sure people are cognizant there that our cash balances are close to that $500 million, $550 million area at this stage. Our view on this, look, is we want to grow, but we're going to grow in a disciplined manner. We've done some nice CapEx with some key customers for some different attributes that they may want in their products that where we've had some higher CapEx run rate, more of an organic growth perspective. And we see more of those opportunities coming. And so, the way we look at it from a cash perspective right now is growth in a disciplined manner. I don't know, Fabio, do you want to add anything further?
Fabio Sandri: I think that's absolutely right. We're always looking for creating value for our team members and our shareholders. And we look for acquisitions that complement our portfolio. We are always looking for things that, we can add value and operate it better or complement our portfolio of brands or geographies. So, I think the market has been really strong on M&A activity, and we will do an acquisition when we believe that will create value for our company.
Operator: The next question comes from Adam Samuelson of Goldman Sachs. Please go ahead.
Adam Samuelson: Yes. Thank you. Good morning, everyone.
Fabio Sandri: Good morning, Adam.
Adam Samuelson: Good morning. So a lot of discussion on boneless market and you've alluded to the volatility in the market and you did see some pretty notable almost some unusual counter-seasonal strength through the third quarter. I would love to just get kind of your thoughts on kind of how, what was really driving kind of the market just as we think about incremental potential sources of volatility moving forward, kind of more recently was an interesting one that would be helpful just to frame, think about what could, how that could recover if at all?
Fabio Sandri: Yes, sure. Thanks for the question. Yes, we've been seeing that the volatile part of the cut out has been the breast meat. As I mentioned, leg quarters has steadily increased. Wings resumed their growth trajectory with being back to the menus and more featuring, but breast meat has been really volatile. We saw some big increases at the end of the quarter, and that was mainly restocking of the, both the foodservice distributors and the, what we call industrial. So, the further processors and the branded companies that sell on the retail, I think over the beginning of the year, what we saw was with high prices at retail, those industrial customers, as we mentioned, we're actually buying less. And we saw that in every single earnings release from the big brand names that they were selling at a higher price, but a lower volume. And I think that was combined with lower production with a reduction in their inventories as well. So I think we saw during the end of the quarter, a little bit of restocking of those.  And we saw some pickup in the demand on the retail. I think we saw a lot of features. We always mentioned that the commodity segment was always augmented by the case-ready demand during the grilling season. And I think we saw that late after Labor Day this year. But we are seeing that as of now as well. Where the case-ready category or the retail category with increasing features is actually buying big bird breast meat from commodity players to augment their offerings on the retail. So I think that big increase was based on these two factors, more industrial for the rebounding or rebuilding of the stocks more retail based on the features. And the foodservice continues to be strong. I think the distribution on the foodservice, as we see the number of servings and penetration on the menu, chicken has improved once again because of the availability and the higher price of the competing proteins.
Adam Samuelson: That's helpful. And then if I just have a second question on the U.K. and Europe and the margin had a nice kind of sequential improvement again, just help us think about the visibility that you have on the margin on the profit side moving into the first half of next year. Is there any concern on volatility in hog markets? Or do you think that you're now in a better balance between the network and the Fresh poultry, the Prepared Foods and the Pork business?
Fabio Sandri: Yes, that's a great point, Adam. Yes, as we build this portfolio, we have a very well balanced between Chicken, between the Fresh pork and Prepared foods, both meat and meals. I think we have invested in innovation as well. I think that has been one of the great strides that we made on helping our key customers to succeed just like we do in the U.S. investing into innovation. As I mentioned, we have more than 100 new products launched, especially on the news scenario. On the fresh, I think what we are seeing is that Pork has helped with a more balanced supply and demand. I think now the live operation of pork is profitable in Europe and was negative for a significant amount of time, and we are the highest have the highest integration of all players in U.K. And on the fresh chicken, what we are seeing is a significant increase in demand because of the affordability of chicken. As we are seeing inflation in Europe was really high. And it was over the wage inflation. But right now, that change, and we're seeing that wages are actually outpacing inflation. So the consumer must have more available income. We are seeing the translation of that into the consumer confidence in the region, and we expect an overall increase in the demand of protein.
Adam Samuelson: Great. That's helpful. I'll pass it on. Thanks.
Fabio Sandri: Thank you, Adam.
Operator: The next question comes from Priya Ohri Gupta from Barclays. Please go ahead.
Priya Ohri Gupta: Hi. Thank you so much for taking our question. Matt, one for you, if I could start. Your free cash flow performance has been coming in better, largely driven by strength in working capital. Just given some of the commentary you guys have made around the grain market, how should we think about working capital for the full year as it relates to cash from operations? Could we end up being in a more neutral position on working capital? Or is there even scope for it to possibly be positive?
Matthew Galvanoni: Thanks for the question. I think it's probably overall more net neutral. I do see, though, as you pointed out, grain moderating. We have already started to see some of that. That started to hit our P&L here we'll call it sort of in the second half of the quarter of Q3. And we do see a little bit more moderation here on the grain side. So that should be beneficial to us, both from a P&L perspective, but also as you point out, a working capital perspective. So we do see a little bit of continued improvement from where we sit today, but I wouldn't take that just too far at this stage.
Priya Ohri Gupta: Okay. That's helpful. And then can I, I just wanted to follow up around the more constructive comments around the European consumer. You just talked about how wages are outpacing inflation and you're starting to see increased more confidence is really sort of dovetailed with some of the more cautious commentary we've heard from others around the European consumer versus the U.S. consumer. So how, I guess, how sustainable do you think some of these stronger trends in terms of the U.S. consumer could be relative to sort of uplifting protein demand? Should we think about this as quarter-to-quarter, I think that we should track? Or is there something more sustainable that we could think about as we model out into '24?
Fabio Sandri: Yes. I think in Europe, what we were seeing, it was an overall reduction in demand, especially on the red meat category and a little bit of pork too because it was more expensive than all others. Chicken was actually steady or gaining a little bit of, let's say, market share in the overall protein category. As we mentioned, as we're seeing the economy improving, we were seeing that the consumer with more available income, and we expect a better overall demand both in retail and in foodservice. I think also when we were seeing a little bit of higher inflation in Europe, what we were seeing people trading out of some branded and going to more the retail brands, which typically are more affordable, and despite that, we saw a growth in our Richmond because of the strength of the brand, but we believe that, that could be a nice change, and we can see consumers going back to some branded offerings. Which could help, especially the Richmond brand and our Fridge Raiders brands in the region.
Operator: This concludes our question-and-answer session. I will now turn the call back over to Fabio for closing comments.
Fabio Sandri: Thank you very much. Over the past year, we've experienced many challenges throughout our business, ranging from volatile market fundamentals, persistent inflation, elevated input costs and compressed spread across proteins. Nonetheless, we continue to invest in our business and building the best team in the industry, driving profitable growth through key customer partnerships, diversification and operational excellence, making our foundation even stronger as conditions change. Moving forward, we are confident on market condition improvements as wage growth is outpacing inflation, floating spreads and return to more normal levels and grade production has increased. Regardless of external factors, we remain relentless in our focus on execution of our strategy, reinforcing our competitive advantage and becoming the best and most respected company in our industry is creating a better future for our members. Thank you for joining us today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.